Operator: Hello, and welcome to the Southern Missouri Bancorp Earnings Conference Call. My name is Alex and I'll be coordinating the call today. [Operator Instructions] I'll now hand it over to your host, Stefan Chkautovich, CFO, to begin. Please go ahead.
Stefan Chkautovich: Thank you, Alex. Good morning, everyone. This is Stefan Chkautovich, CFO with Southern Missouri Bancorp. Thank you for joining us. The purpose of this call is to review the information and data presented in our quarterly earnings release dated Monday, January 27, 2024, and to take your questions. We may make certain forward-looking statements during today's call, and we refer you to our cautionary statement regarding forward-looking statements contained in the press release. I'm joined on the call today by Greg Steffens, our Chairman and CEO; and by Matt Funke, President and Chief Administrative Officer. Matt will lead off our conversation today with some highlights from our most recent quarter.
Matt Funke: Thanks, Stefan, and good morning, everyone. This is Matt Funke. Thanks for joining us. I'll start off with some highlights on our financial results for the December quarter, which is the second quarter of our fiscal year. Quarter-over-quarter, earnings and profitability improved due to a larger earning asset base, driving an increase in net interest income in combination with a lower provision for credit losses, and a decrease in non-interest expense. With the earnings and profitability improvement we have seen in the first half of our fiscal year, we feel we have good momentum and see positive trends going into the second half. We earned $1.30 diluted in the December quarter that's up $0.20 from the linked September quarter and it's up $0.23 from the December 2023 quarter. Net interest margin for the quarter was 3.36% as compared to 3.25% recorded for the year ago period and was relatively flat compared to the first quarter of fiscal '25 when it was 3.37%. Net interest income was up 4% quarter-over-quarter and about 10.5% year-over-year. In the second quarter of our fiscal year, we generally receive inflows of seasonal deposits from our agricultural customers and public unit depositors, which can drive some net interest margin compression with those funds held in higher cash balances. However, this year with FOMC rate cuts of 100 basis points driving down short-term rates and reducing the cost of our variable rate deposits, which have grown over recent periods, we were able to expand our net interest spread by 4 basis points in the quarter due to decreased funding costs, and that helped hold the net interest margin relatively steady quarter-over-quarter. On the balance sheet, gross loan balances increased by just over $60 million during the second quarter. Compared to a year ago at December 31, 2023, gross balances were up $295 million or just under 8%. Deposit balances increased by about $170 million in the second quarter and increased by $225 million or about 5.5% compared to December 31 of the prior year. Strong growth in deposits this quarter was a result of non-maturity deposit accounts from seasonal deposit inflows and core CD growth from well received special rights offered during the quarter. Due to strong deposit growth, cash equivalents grew $70 million quarter-over-quarter, and our available-for-sale securities portfolio grew about $48 million or 11%, as we took advantage of a better spread environment to purchase bonds and add on balance sheet liquidity. Tangible book value per share was $38.91 and increased by $4.26 or 12% during the last 12 months. I'll now hand it over to Greg for some discussion on credit.
Greg Steffens: Thanks, Matt, and good morning, everyone. Overall, our asset quality remained strong at December 31 with adversely classified loans totaling or $20 million or 98 basis points of total loans, a decrease of about $849,000 or 4 basis points compared to the linked quarter. Nonperforming loan balances increased slightly by $103,000 to $8 million at 12/31, but in line as a percentage of total loans at 21 basis points which is up 5 basis points from the prior year-end. Non-performing asset balances dropped to 22 basis points down from 26 basis points last quarter due to the sale of several parcels of other real estate owned. Loans past due 30 to 89 days totaled $7 million, which was stable compared to September 30 and at a low 17 basis points on gross loans. This is a decrease of 1 basis point compared to the linked quarter and down 2 basis points compared to a year ago. Total delinquent loans were $13 million and also flat from September. Net charge-offs remained benign at 2 basis points annualized. Overall, although credit quality has remained strong due to the recent period of sustained higher interest rates, we do expect problem loans and net charge-offs could increase modestly, but we expect them to remain manageable and below industry averages. As compared to the prior end -- as compared to the prior quarter-end September 30, agricultural real estate balances were a little changed and they were up $2 million compared to December 31 a year ago. Ag production and equipment loan balances were down $12 million quarter-over-quarter following our normal seasonal pattern. But paydowns have been relatively limited so far and balances are up $42 million year-over-year. In calendar year 2024, our agricultural customers demonstrated resilience despite facing several weather related challenges, including spring rains that required replanning, followed by a hot, dry summer. But thanks to robust irrigation infrastructure, those farmers reported yields that exceeded expectations. However commodity prices declined throughout the year, pressuring profitability, particularly for cotton, soybeans and corn, which have experienced limited price recoveries more recently. Looking ahead to calendar 2025, we expect shifts in crop acreage as farmers respond to weaker market conditions and higher input costs. Corn acreage may decline in favor of soybeans and rice, and cotton acreage is likely to be reduced unless prices improve. Many farmers have carried over 2024 crops in hopes of higher pricing this spring, which has delayed paydowns on agricultural lines, but should result in stronger repayments in the March quarter. While working capitals are lower across much of our farm customer base, we are proactively working to address any potential shortfalls by leveraging FSA guarantee programs or restructuring loans. And we expect some customers will be supported through government price support programs. Despite these challenges, our disciplined lending practices, stress testing of farm cash flows and deep customer relationships should ensure satisfactory performance on these credits. Looking at the loan portfolio as a whole, gross loans grew $60 million or 6.1% annualized during the quarter. We're in the slower part of our fiscal year for loan growth due to the seasonal factors, including ag. The bank experienced some well-rounded growth stemming from construction, C&I, 1 to 4 family residential real estate and multi-family. Loan growth was led by our South region, as well as for new regions based out of St. Louis and Kansas City. As our new lenders that we have added over the last year have started to add to our deduction totals. Our pipeline for loans to fund in the next 90 days totaled $173 million at quarter-end as compared to $168 million at September 30 and $141 million one year ago. Although we are currently in a slower growth period with our normal winter seasonality due to the strong first half of loan growth in the building pipeline, we feel optimistic about achieving at least mid-single-digit loan growth for the fiscal year. Now Stefan, would you provide some additional details on our financial performance?
Stefan Chkautovich: Thanks, Greg. Matt hit some of the key financial items already, but I'll note a few additional details. Looking at this quarter's net interest margin of 3.36%, it included about 9 basis points of fair value discount accretion on acquired loan portfolios and premium amortization on assumed deposits which was static compared to the linked September quarter but down from the prior-year December quarter addition of 14 basis points. Although this can vary based on prepayment activity, we would expect this to trend lower by about a basis point a quarter. The primary contributor to the 1 basis point compression of the net interest margin as compared to the linked quarter was the increase in lower-yielding assets as the average balance of the investment portfolio and interest earning cash equivalents increased by almost $80 million quarter-over-quarter. This was mostly offset by an 11 basis point decrease in our cost of interest-bearing liabilities to 3.33%. Looking at March quarter, through January, we have continued to see increases in seasonal deposits, which have further elevated our cash equivalent balances, which are primarily being held at the Federal Reserve. This, in addition to seasonally slower quarter for loan growth, could compress the net interest margin. But we would expect the net interest spread, which is the difference between our earning asset yield and cost of interest-bearing liabilities, to improve slightly as loans reprice higher at renewal and CDs continue to reprice down. In addition, the reduced day count in the March quarter will have a small negative impact on the quarterly net interest income. Non-interest income was down 4.3% compared to the linked quarter due to reduced gain on sale of loans, primarily SBA, a decrease in interchange income as the September quarter's results included receipt of additional card network fees based on annual volume incentives and as we saw a decrease in interchange per transaction, and lower other loan fees. Non-interest expense was down 3.7% quarter-over-quarter, primarily due to lower compensation and legal professional fees. The lower compensation expense in the December quarter is primarily due to the timing of accruals. Legal and professional expenses have decreased due to the one-time payment in the September quarter associated with the performance improvement initiative of $840,000. These decreases were partially offset by an increase in other non-interest expense due to expenses associated with SBA loans and cost for employee travel and training. We would expect to see a quarterly increase in the compensation expense run rate in the March quarter as annual merit increases and cost-of-living adjustments take effect, for which we awarded mid-single-digit percentage increase, including the cost of benefits. Our provision for credit losses was $932,000 in the quarter, as compared to $2.2 million in the linked quarter. The September quarter provision was elevated to support strong loan growth and an increase in credit reserves for individually reviewed loans. Our allowance for credit losses at December 31, 2024 was $55 million or 1.36% of gross loans and 659% of non-performing loans, as compared to an ACL of $54 million or 1.37% of gross loans and 663% of non-performing loans at September 30, 2024 the linked quarter. The current period PCL was the result of $501,000 provision attributable to the ACL for loan balances outstanding and $431,000 provision attributable to the allowance for off-balance sheet credit exposures. Our assessment of the economic outlook was little changed. Our nonowner-occupied CRE concentration at the bank level was approximately 317% of Tier 1 capital and allowance for credit losses at December 31, 2024, down about 3 percentage points as compared to September 30, due to growth in our Tier 1 capital outpacing our nonowner-occupied CRE. On a consolidated basis, our CRE ratio was 306% at December 31. Our intent would be to hold relatively steady on this measure and grow our CRE in-line with capital, but we expect it may pick up somewhat in the next few quarters with construction draws. The effective tax rate was 23.7% in the quarter, as compared to 21.3% in the linked quarter and 20.6% in the same quarter of the prior fiscal year. The effective tax rate for the second quarter of fiscal 2025 was elevated due to an adjustment of tax accruals of $380,000 attributable to completed merger activity. We would expect the effective tax rate to return to our normal range in the second half of the fiscal year. To conclude, the first half of the fiscal year 2025 has been a strong one, characterized by robust loan growth and improved profitability. With a healthy loan pipeline and favorable underlying trends, we are optimistic about the remainder of the year. Greg, any closing thoughts?
Greg Steffens: Thanks, Stefan. We are currently in the final stages of receiving recommendations from the performance improvement initiative that we launched last quarter. This initiative is not only a pivotal step in enhancing our ability to meet our customer needs quickly and effectively, but it's also an opportunity to improve our longer-run efficiency. And it also serves as a valuable professional development tool for our team. I'm immensely proud of how our employees and team members have embraced the process with energy and dedication. And some of these enhancements are already being implemented across our organization. The time frame for full adoption of the recommendations that we intend to move forward with will run over several years, but we are really optimistic about longer-term results. Alongside the contributions from our incredible team, we have been actively expanding our talent pool, particularly in our newer markets in Kansas City and St. Louis. These efforts are already yielding positive results. More recently, we welcomed a new Director of Wealth Management and Trust Services, and we are excited to see her take on trusted brokerage services as we move to a higher and improved level. We are also optimistic about the remainder of fiscal '25 as the improving yield curve slope and strong business activity in our markets create a favorable environment for earnings growth. Lastly, we deserve small but encouraging signs of increased M&A conversations. While these remain in preliminary stages, we believe the improvement in bank valuations will drive more interest from potential sellers in the intermediate future. Stefan?
Stefan Chkautovich: Thanks, Greg. At this time, Alex, we're ready to take questions from our participants. So if you would, please remind the callers how they may queue for questions at this time.
Operator: [Operator Instructions] Our first question for today comes from Matt Olney of Stephens. Your line is now open. Please go ahead.
Matt Olney: Hi, guys good morning.
Stefan Chkautovich: Good morning Matt.
Matt Olney: Thanks for taking the question. I just want to ask kind of more of a broad question first on your operating markets. You operate in some rural markets and some -- maybe on the edges of more larger metro markets. I'm just curious about what you're seeing on deposit competition in the recent weeks and months. Just any differences you're seeing in those various types of markets within in your footprint.
Stefan Chkautovich: I don't know that I could point to a specific difference between rural and metro right now. It's kind of a mixed bag on the competition front overall. I think it is pretty clear there's been a decreased pipe for funds in the last six months compared to where we were towards the end of 2023 for, I guess maybe for most of '23. But we still see some outliers up there with rates that are in the very high 4s, which is kind of puzzling to us, but we do see it in some one-off situation. And it does drive some activity.
Greg Steffens: In a variety of markets, we have some banking brethren that have higher loan-to-deposit ratios that do seem to drive deposit pricing in different markets, but I wouldn't say, it would be consistent from rural versus metro --.
Matt Olney: Okay. Appreciate that. And then I guess, on the liquidity front, it sounds like you feel good about the liquidity you are bringing in and you are opportunistic and bought some securities during the December quarter-end. Any more color on just that decision to buy securities? And then just more color on what you purchased in terms of durations and yields.
Stefan Chkautovich : Yes. Thanks Matt, for the question. So yes, we took a bit of a, I guess -- we took what the market gave us. We had some higher market rates, so we took opportunistically to purchase about $50 million in CDs and paired that with some broker deposits. Net, we didn't see any real growth in broker deposits.
Greg Steffens: CDs, we didn't buy CDs.
Matt Funke : We took CDs for funding, but on the purchase side, pass-throughs --.
Stefan Chkautovich : We funded the purchases with broker CDs. But it was mix, about 50-50 of available-for-sale variable and fixed rate, mostly CMOs and mortgage-backed securities.
Matt Olney: Okay. That's helpful. And then just lastly, I guess on the expense side, nice performance on the just cost controls, just more broadly in this past quarter. Any more color on just what we should expect on expenses over the next few quarters?
Matt Funke : Nothing real significant. We do have kind of our seasonal compensation adjustments, Stefan mentioned on the prepared remarks that will hit in March, and then kind of roll into it over the remainder of the year. We have doing pretty well bringing down some of our data connectivity costs. That's been a tailwind for us. Occupancy, there shouldn't be anything really new going on there for a while. We've got a new branch coming on, but that will be just over time. Nothing really to note, is what I meant --.
Matt Olney : Okay, guys. Thanks. I'll hop back in the queue.
Operator: Thank you. Our next question comes from Andrew Liesch of Piper Sandler. Your line is now open. Please go ahead.
Andrew Liesch : Hi, guys good morning. Just want to ask what the cadence of the loan growth here. It sounds like maybe you have some elevated agriculture payoffs coming this quarter, but the pipeline looks good. Do you think that you'd see -- could balances possibly decline here this quarter, and then accelerate to end the fiscal year?
Greg Steffens: I would anticipate that we would have stable balances to slightly higher balances. I could see us doing roughly half the growth that we did this last quarter.
Andrew Liesch : Got it. That makes sense. Then looking into, call it, your last fiscal quarter, that's -- which is usually one of your strongest quarters. Do you think some of the growth might be pulled forward? Because it seems like high single digits is certainly doable this year, at least to beat the 6.5% or so from last year just given where you are right now. So do you think that maybe the mid-single digits could be surpassed?
Greg Steffens: I think it is definitely a possibility. The growth of the -- in the June quarter will be in part predicated by agricultural planting conditions and when do the farmers plant the crop, to where is part of that growth going to occur. Will some of it be leaning towards in the June quarter? Will part of it move later? But it is impossible to know weather conditions at this point for that. But if everything tracks, we feel like it definitely could be mid-to-higher single digits.
Andrew Liesch : Got it. All right. Very helpful. And then looking at the margin just past this quarter, or the current quarter that we are in maybe, recognizing we could see some pressure. Is the bigger factor right now, this liquidity? It seems like you have some good opportunities on the funding side. And as that liquidity kind of right-sizes due to the margin step higher, is that a good way to think about it?
Stefan Chkautovich : Yes. Sure, that's a great way to look at it, Andrew. So it's a little bit of a balancing act for NII there depending on the outflows of some of these seasonal deposits from the public unit and the ag clients. So basically, I wouldn't expect a whole lot of net interest income growth in the quarter. But if the average balances hang around longer, you would see a little bit more pressure on the NIM, should give us a little bit more NII, then reverse, if the balances go out quicker, we would expect to see a little bit of NIM improvement maybe or hanging a little bit better.
Andrew Liesch: Got it. All right. That’s very helpful. Thanks guys, I will step back.
Greg Steffens: Thank you.
Operator: Thank you. Our next question comes from Kelly Motta of KBW. Your line is open. Please go ahead.
Charlie Driscoll: Hi. This is Charlie on for Kelly Motta. Good morning.
Greg Steffens: Good morning Charlie.
Charlie Driscoll: Just to dig into the loan growth some more. It was really healthy this quarter supported by growth in construction. Just curious what you're seeing there. Are you seeing more projects being funded and more activity in those markets? Thanks.
Greg Steffens: Really we're seeing a continuation of projects that we had underway. So we have a stable pipeline, construction draws that are occurring. Would expect that some of the rate of that growth will slow as the quarter progresses as existing projects do get completed and paid off. So we've had a little over $100 million in construction land development growth since June 30. The pace of that will slow down and we'd anticipate that balances might moderate a little bit in the latter part of our fiscal year.
Charlie Driscoll: That's helpful. Thank you. And then given this growth, you said CRE is just over 306% as of December and possibly increasing throughout 2025. Just wondering where your comfort level is with current concentrations and how you expect this concentration to trend longer and shorter term.
Greg Steffens: Our internal limit is a fair amount higher than this. Our internal limit is 375%. We anticipate our balances to basically fluctuate between 300% and 325%, is kind of where we target that ratio.
Charlie Driscoll: Awesome. That’s helpful. Thank you. I’ll step back.
Operator: Thank you. At this time, we currently have no further questions. So I'll hand back to Stefan for any further remarks.
Stefan Chkautovich : Appreciate everyone jumping on the call. And have a great afternoon. Thanks all.
Greg Steffens: Thanks, everyone. Talk to you next quarter.
Operator: Thank you all for joining today's call. You may now disconnect your lines.